Operator: Good day and welcome to the Aerohive Networks’ Fourth Quarter 2015 Financial Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the call over to Melanie Solomon. Please go ahead.
Melanie Solomon: Thank you, Jessica. Welcome to Aerohive Networks’ fourth quarter and fiscal year 2015 financial results conference call. After the market closed today, Aerohive issued a press release through Business Wire. The release is also available on our website at aerohive.com. This call is being webcast live on the Investor Relations section of the Aerohive website and will be available for 30 days. Today’s call is being hosted by David Flynn, President and Chief Executive Officer; and John Ritchie, Chief Financial Officer. During the course of today’s call, management will make forward-looking statements including statements regarding our projections for fourth quarter and fiscal year 2015 operating results, expectations for future revenue growth, profitability and operating margins, plans for future investments, including a share repurchase program announced today, product development, deployment, adoption and performance, and expectations of customer buying patterns and the growth of the market for our products and business generally. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control, and the actual outcomes and results may differ materially from those contemplated by these forward-looking statements as a result of these uncertainties, risks and changes in circumstances that could affect our financial and operating results, including risks and uncertainties included under the captions Risk Factors and Managements Discussion & Analysis of financial conditions and results of operations, in our recent Annual Report on Form 10-K and quarterly report on Form 10-Q. Aerohive’s SEC filings are available on the Investor Relations section of the Company’s website at ir.aerohive.com and on the SEC’s website at sec.gov. All forward-looking statements in this presentation and referenced press release are based on information available to us as of the date hereof and we disclaim any obligation to update the forward-looking statements provided to reflect events that occur or circumstances that exist after the date on which they were made except as required by law. Today, we’ll be discussing, both GAAP and non-GAAP financial measures. The non-GAAP financial measures have been adjusted to exclude certain charges and are not intended to be considered in isolation or as a substitute to results prepared in accordance with GAAP. For a reconciliation of these non-GAAP financial measures to the corresponding GAAP measures and a discussion of why we present non-GAAP financial measures, please see today’s press release available on our website. Now, I’ll turn the call over to David Flynn, President and CEO of Aerohive.
David Flynn: Thank you, Melanie and thank you all for joining us today. Fourth quarter of 2015 was our third consecutive quarter of exceeding expectations on both the top-line and the bottom-line. We delivered another record quarter with revenue of $46.2 million and an 8 percentage-point sequential improvement in non-GAAP operating margins. These results bring us closer to our goal of achieving quarterly non-GAAP operating profitability in 2016. We are engraining in and winning more large projects with a record number of million-dollar deals during the quarter. I’m very pleased with our consistently improving sales execution. Our fourth quarter results reflect strong year-over-year growth of 28% with meaningful contributions from all regions and an excellent balance across vertical markets. We outperformed in retail and distributed enterprise and saw strong performance in the education vertical driven by E-Rate. Overall, we saw a continued trend toward more large deals as we engage with large organizations around the globe. I’ll now highlight a few customer wins in the quarter to span our key verticals and highlight the differentiators of our products. We demonstrated we can punch well above our weight class by winning the largest deal in the Company’s history, a 40,000 AP rollout across a large retailer in Japan. We were selected because of our hardware quality and reliability, and the ease of deployment and management provided by our cloud-based management system. We booked the initial orders in Q4 and expect the project to fully deploy in 2016. We closed the 3,700 AP deployment with a $10 billion European grocery chain. They chose to deploy Aerohive as part of a customer loyalty initiative. We won because our solution could deliver the desired customer enrollment process and analytics without the costly and complex add-on products our competitors require. We received a 4,000 AP order to deliver Wi-Fi in the branches of one of the largest banks in the U.S. following our successful rollout in our headquarters and campus locations. Our product strategy and simplicity with enterprise sophistication is enabling this Fortune 500 organization to deploy 40 branches per night. In higher education, we were selected over HP’s Aruba product line by SURFnet, the provider of the national research and education network of the Netherland. SURFnet will use Aerohive to deliver managed Wi-Fi services to universities across the country. The customer was so committed to the Aerohive solution that they fought and won a procurement lawsuit that was initiated by the competition. In K-12 education, we won 2,000 AP project at Lake Washington School District over Cisco’s Meraki product line. Lake Washington is 29,000-student district near Seattle. After years of running a complex Cisco controller-based network when it was time to upgrade, they decide to the simplify operations by moving to a cloud-managed solution. They evaluated the two leading cloud solutions, Cisco’s Meraki product line and Aerohive. They chose Aerohive due to HiveManager NG’s superior ability to provide network visibility and control as well as our advanced networking functionality. These wins show that the market is highly receptive to the simplicity and uniqueness of our cloud networking solution, our scalable Wi-Fi architecture and our increasingly important big data analytics. While I’m proud of the new products -- of the new projects we won during Q4, I’m equally pleased with how well we are taking care of our existing customers. In Q4, we commissioned an independent global customer satisfaction survey and the results were great, with Aerohive bringing a net promoter score of 64, one of the highest in the tech sector. The Aerohive team works hard to satisfy our customers, so it’s very rewarding to see an independent validation of these efforts. On the product front, we continued to extend our cloud networking leadership with new products and forward-looking capabilities. During the quarter, we announced the connected experience for the enterprise. This included a new release of HiveManager NG, our next generation enterprise-class network management application that continues our long history as an innovator in could-networking. NG has built our Aerohive cloud services platform that includes big data, analytics and APIs that enable additional applications and insights to be developed. Aerohive continues to be the only vendor offering the same capability whether used as a public cloud subscription or running as a private cloud behind the customer’s firewall. As a reminder, in December, we hosted an investor webinar where members of our engineering and marketing teams presented these new functionalities. The replay and slides are still available on our website, if you want to check that out. Looking ahead, we believe we have a compelling road map of hardware and software functionality including the release of our uniquely differentiated wave 2 product in Q1. All of this supports our vision of cloud networking and big data analytics that enables our customers to transform how they serve their customers. Q4 was a strong close to a transformative year. In 2015, we made significant progress across all disciplines, strengthened our go to market and deepened our sales leadership. We enhanced our product offering with HiveManager NG and our connected experience platform and increased our reach with validating partnerships that include Dell, Brocade, Juniper, and continued work with Apple. We’ve assembled a strong and experienced management team and are prepared to march toward our goal of achieving quarterly non-GAAP operating profitability in 2016. We feel good about our momentum going into 2016 and expect it to be a very exciting year for Aerohive. I’ll now turn it over to John to go through the financials in detail, provide our guidance for the first quarter and discuss our plans to achieve profitability.
John Ritchie: Thank Dave. Good afternoon everybody and thank you for joining us. Before we go through the quarter in detail, I would like to highlight some milestones that Aerohive achieved during the fourth quarter. Q4, as Dave mentioned, was a record revenue quarter for us with product revenue and software subscription and services revenue setting all time records of $38.9 million and $7.3 million respectively. Our deferred revenue balances now total almost $60 million; our DSOs came in at the low end of our previously stated guidance of 45 to 55 days; our non-GAAP operating margins improved sequentially by approximately 820 basis points. And lastly, we generated over $4 million in cash during the quarter for a combined total $7 million over the last two quarters. Moving on to the quarter in more detail, as Dave mentioned, we benefited from improved execution across multiple disciplines in our organization. We’re not done improving yet but we are pleased with the progress we have made to-date. In the fourth quarter, we experienced strong sequential revenue growth with revenues increasing to $46.2 million, which is at the high end of our guidance of $44 million to $47 million. This was an increase of 28% compared to the same quarter a year ago, and an increase of 8% on a sequential basis. Our strong performance was driven by robust results across our retail, distributed enterprise and education verticals. Q4 was a record for the product revenue category, which as I mentioned, came in at $38.9 million or 84% of total revenues, an increase of 25% compared to the same quarter a year ago and an increase of 8% on a sequential basis. Q4 was also a record for the software subscription and services revenue line which came in the $7.3 million or 16% of total revenues, an increase of 45% compared with the same quarter a year ago and an increased of 10% on a sequential basis. On a geographic basis, Q4 revenues in the Americas were $29.4 million or 64% of total revenues. America revenue increased 35% as compared with the same period a year ago and were even on a sequential basis. The year-over-year improvement in the Americas was driven by our continued strength that we are seeing in our education business. Moving on to EMEA, we saw healthy results in that region with revenues of $12.2 million or 26% of total revenue. EMEA revenues increased 19% compared to the same quarter a year ago, and increased 18% on a sequential basis. The strength was led by our product success in the retail markets. Revenue in the Asia-Pacific region was $4.7 million for the quarter or 10% of total revenues. Asia-Pac revenue increased 9%, compared to the same quarter a year ago, and increased 63% on a sequential basis. These increases were the result of the initial revenue in the quarter from the large Japanese retail deal that Dave mentioned during his remarks. We are particularly pleased with our growth in the international markets. This success was in face of significant currency headwinds. As a reminder, we bill all locations in U.S. dollars and therefore subject to pricing pressures during periods in which the dollar is strong. Now, moving on to our gross margins, on a non-GAAP basis Q4 gross margins were 67.7% compared with 67.8% in the same period a year ago. Product non-GAAP gross margins came in at 68.4% compared with 67.6% in the same period a year ago. Software subscription and services gross margins on a non-GAAP basis were 64.3% in Q4 compared with 63.2% sequentially, and down from 68.7% in the same quarter a year ago. As reminder, the year-over-year decline related to the previously discussed amortization of our capitalized cloud development costs for our AerohiveManager NG cloud services platform. This amortization was $325,000 in the quarter, as planned. Moving on to expenses. Non-GAAP operating expenses were $33.4 million in the fourth quarter, compared with $28 million in the prior year quarter. This year-over-year increase reflects our continued measured investments in our growth. With regard to non-GAAP functional expenses, non-GAAP R&D expenses increased sequentially to $9.1 million or 20% of revenue compared with $8.8 million or 21% of revenue in Q3. This compares to $6.2 million or 17% of revenue in the same period a year ago. The increase in R&D spend reflects our continued investment in building out our cloud capabilities. Non-GAAP sales and marketing expenses were $19.5 million or 42% of revenue in the fourth quarter compared with $20.1 million or 47% of revenue in third quarter. This compares to $17.1 million or 47% of revenue in the same period a year ago; this represents significant improvement in our sales and marketing efficiencies. Lastly, on a non-GAAP basis, G&A expenses were $4.8 million or 10% of revenue in Q4, a decrease from $5.2 million or 12% of revenue in Q3. This compares to an increase from $4.7 million or 13% of revenue in the same period a year ago. As we scale our business, we expect G&A expenses as -- to decrease as a percentage of total OpEx. Overall we saw sequential improvements of approximately 820 basis points in our non-GAAP operating margins, which narrowed to negative 4.5% compared with negative 12.7% in the third quarter, an improvement of approximately 510 basis points from the negative 9.6% we recorded in the year ago period. On a non-GAAP basis, we reported a net loss of $2 million compared to a net loss of $4 million in the same quarter a year ago. Net loss per share was $0.04 compared to a net loss of $0.09 in the same period a year ago and the loss of $0.12 in the prior quarter. The net loss per share in Q4 is based on a weighted average common shares outstanding number of 48.4 million shares. Moving on to our GAAP results. On a GAAP basis, we reported a net loss of $7.4 million in Q4 compared with the net loss of $8 million in the same quarter a year ago. Net loss per share was $0.15 compared with the net loss of $0.17 in Q4 compared with net loss of $0.24 in the prior quarter. Total headcount at the end of Q4 was 624, roughly even with our Q3 headcount and up from 569 recorded at the end of 2014. Now, moving on to the balance sheet. Cash and short-term investments at the end of the year totaled $92.3 million, an increase of approximately $4.1 million for the quarter. Over the last two quarters, we generated approximately $7 million in cash. Inventory levels increased to 10.8 million at December 31 compared to 8.4 million at the end of last year; this increase was driven by growth. Accounts receivables increased sequentially to 22.8 million as of December 31, 2015. DSOs for the quarter were 45 days compared to 32 days in Q3 and 59 days in the prior year quarter. We believe our quarterly DSOs will typically fluctuate in the range of 45 days to 55 days, depending on seasonality and related linearity inside of the quarter. Total deferred revenues increased 8% to $59.3 million at the end of the year, an increase of 28% over the prior year. The continued growth in our deferred revenue balances brings stability to our overall business model as the revenues recognized in future periods. Now turning to our guidance for the first quarter of 2016, we are currently anticipating revenues in the range of $38.5 million to $40.5 million, this represents an approximately 50% increase over Q1 result of last year. As we explained in our last earnings call, our Q1 is our seasonally weakest quarter due to the timing of both enterprise and K-12 spend. On a non-GAAP basis, we expect gross margins between 67% and 68% and we expect operating margins between negative 18% and negative 23%. We expect other expenses of $100,000 and tax expenses of $200,000 in the quarter. And lastly on a non-GAAP basis for the first quarter, we expect a loss of between $0.15 and $0.18, on a weighted average common share outstanding of approximately 49.2 million shares. On a GAAP basis, we expect EPS to be between negative $0.26 and a loss of $0.29 on the same weighted average shares outstanding. As a remainder, the primary difference between our non-GAAP and our GAAP results is stock-based compensation. Now as we look a little deeper into 2016 and fine-tune our internal models, we are becoming efficiently confident we can achieve -- we will achieve quarterly non-GAAP profitability in 2016. We plan on achieving this goal with revenues in the range of $50 million to $51 million. We expect to meet this objective through a combination of revenue growth and controlled operating expenses. Focusing those expenses on investments areas, we feel will yield the highest the returns that will help secure our long term success. And finally, as mentioned in our earnings press release, we announced that our Board approved a 10 million share repurchase program to build value for our shareholders. This reflects management and the board’s confidence in our business as we head into 2016. With that I’ll now turn it back over to Dave.
David Flynn: Thanks John. This was a great quarter for us and puts us in a great position for 2016. We couldn’t have done that without the efforts of our employees helping us through this transformative year. We’d also like to thank our customers and partners who continue to show their confidence to us and reward us with their business. We will now take your questions. Operator?
Operator: [Operator Instructions] And we’ll go first to Doug Clark with Goldman Sachs.
Doug Clark: Great, thanks for taking my question. My first one is a higher level macro picture. First quarter seasonality is looking generally in line with normal seasonality in terms of the guidance. Wondering if you can comment on linearity throughout the quarter and then secondarily, if kind of the current macro conditions but more specifically the market choppiness is having any impact on enterprise spending or expectations for the first quarter?
John Ritchie: Sorry, was the linearity question about Q4 or Q1?
Doug Clark: Linearity through 4Q, through the fourth quarter and then if the macro environment is having any adverse effect on first quarter expectations or enterprise spending in general?
John Ritchie: Yes. So, it’s John speaking here. It was a fairly linear quarter for us in terms of linearity that you saw even throughout the quarter. I think if you look at our DSOs, they would support that conclusion.
David Flynn: Yes. In terms of the current spending environment, I think the stock market choppiness is -- I would say we have not seen that being reflective in spending patterns of our customers. I think we have normal seasonality that we experience where stronger enterprise spend in Q4 and usually down a bit in Q1 as well as education being lighter and Q1 which is reflected in the guidance. And it’s always been our seasonally weakest quarter but macro trends did have an influence at this point.
Doug Clark: Great, thanks for that detail. And my follow-up question is on E-Rate and the education vertical. Can you talk about kind of how it performed in the fourth quarter and this year, seeing any impact or positive boost from E-Rate and then kind of expectations throughout the first quarter on that point as well?
David Flynn: Yes. With regard to E-Rate, the performance in Q4 was in line with our expectations, as we over-performed in some of the other verticals, particularly retail and enterprise which actually reduced our dependence on the education vertical in Q4 versus the prior couple of quarters. But the business was flowing kind of on a steady basis, fairly consistent with how it flowed in Q3. And we’ve at this point taken more than half the E-Rate business off the table but have a plenty of it in front of us for the next few quarters.
Operator: We’ll go next to John Lucia of JMP Securities.
John Lucia: Hi, guys. Thanks for taking my questions. Dave, you mentioned a record number of $1 million deals in the quarter. I don’t think you guys have talked about million-dollar deals in the past. How many million-dollar deals did you have in the quarter and how does that compare to your prior record?
David Flynn: We specifically didn’t -- we’re not going to start counting that and reporting that as a regular metric. But it was -- we have certainly closed million-dollar deals in the past, but there was -- tended to be more of exception. We had a nice portfolio of million-dollar deals, if you look at all those deals that I talked about today on the call, I think all of those except for one was north of 1 million and there were others too.
John Lucia: Okay. And then I just kind of wanted to dive in on that a little bit. I just wanted to talk about how you’re able to garner these larger deals. It sounds deal sizes are going up. Is it the better sales execution that you have with commonplace? Is there kind of a general migration towards the cloud among the larger enterprises could, Wi-Fi? And then are you seeing any kind of disruption from HP Aruba, is that allowing you to garner larger deals?
David Flynn: So, I think a lot of it is just kind of normal maturation of the company earning its way maturing the company, maturing the product line, maturing the channels and giving us access to those larger deals; there’s definitely some that is result of the disruption from HP’s acquisition of Aruba that at this point we believe we are the largest independent enterprise class Wi-Fi vendor in the market. Other people that are really focused service provider and hospitality but because of addressing the enterprise market, we are the largest enterprise class vendor. And these enterprises are increasingly recognizing that and inviting us to participate. The innovation on top of the platform analytics, scalability all those things are all significant contributing factors. I think it’s a natural evolution of the company just indicating the progress we’ve made as a team.
John Lucia: Okay. So, the HP Aruba disruption is kind of reaching a tipping point and you’re now garnering business because of that; it’s not just potential business in the future?
David Flynn: Yes. And there certainly are opportunities that we’ve earned because of that disruption whether it was a channel partner coming to us or a customer wanting to move away from that. I would reference that as the predominant driver of it, I think this is more about us maturing and improving our execution as a company and maturing our offerings is the biggest driver of our ability to win these larger deals.
John Lucia: Okay. And then my last question is, can you just give us a sense for the revenue growth rate excluding K-12 education? You mentioned retail and others. What was the growth rate in enterprise excluding K-12 education?
John Ritchie: We’re trying to get away from giving specific growth rates on specific verticals. I think what we’re seeing is as our product gets deeper penetration in each of these markets, we’re seeing growth overall. But again, we want to stay away from specific growth rates in specific verticals.
Operator: We’ll now take a question from Troy Jensen with Piper Jaffray.
Austin Bohlig: Thanks for taking my question, and this is actually Austin Bohlig on for Troy. And first off, congrats on the good quarter gentlemen.
David Flynn: Thank you.
Austin Bohlig: And just a couple of questions. First question here is, during the quarter our checks indicated that we saw some more pricing pressure, specifically from Cisco. I was wondering, if you guys saw any of that on year-end?
John Ritchie: Where you’d see pricing pressure in terms of our results would be in the gross margin line. And we saw sequential improvement in gross margins in the quarter. So, I think that’s not a direct answers to your question, but it indirectly tells you the kind of pricing pressure we’re seeing and how we’re responding to it.
Austin Bohlig: Okay, great. And then second question for Dave. The Dell partnership, how has traction with that been going?
David Flynn: So, we’re pleased with the traction. We have high levels of engagement across multiple parts of the organization across the sales, product group, training up their support group and a lot of other activities. Still investing in the ramped phase of it and we still expect it to become material contributor to our business in 2016.
Operator: We’ll now go to Catharine Trebnick with Dougherty & Company.
Catharine Trebnick: Thank you for taking my question and good afternoon. Back to the partnership; so, you have some really nice sized deals that you discussed at the begging of the call. Are those related to your Brocade, Juniper/Dell or is that more from the direct sales force?
David Flynn: Yes, those deals -- usually deals of those magnitudes are longer sales cycles that were launched before the Brocade Juniper and Dell relationships were put in place. I think those were just results of ongoing -- previous investments in sales and channel development and business partnerships before those. So, we certainly hope that the maturation of those new relationships will allow us to have even more of those in future quarters.
Catharine Trebnick: And then the other question is back to E-Rate. One of the things that I was wondering about is when we did our channel check, there was a lot of fulfillment during the quarter. I had expected maybe a lot of schools would purchase during the Christmas or Thanksgiving holiday and that wasn’t the case. So, did you see the fulfillment with more forms or did you have a lot or equally as many new opportunities? So, we had a lot of people saying that there were still problems with the forms and so it was more fulfillment in the channel than new deals.
David Flynn: Yes. To make sure, I’m understanding, so you…
Catharine Trebnick: I’m just trying to quantify, did you have more new deals in the E-Rate or a lot of fulfillment, because the forms were -- there were so many problems with the forms that were released that people had to redo their forms before they could actually fulfill the order?
David Flynn: Okay. So to make sure we are talking about the E-Rate year of the awards that were -- the 471s that were filed in April of last year is what we were out collecting that was roughly $60 million worth. Of those, public information USAC is about 90% of the award letters -- the dollar value of award letters were issued by the end of December, but spending lags behind that because people -- don’t have time to install or the spending will continue on for the next few quarters. I think that’s what we’re seeing. There were issues where some people struggling to get their forms approved and they working through that with USAC. But as I said, 90% of those -- the dollar value of those across the industry were resolved and approved as of the end of December. The other issue is we’re now in the middle of competing for this coming year’s E-Rate awards. And we’re going through the process of bidding on those projects. There were some issues with the forms not being right at the start of that process that have been resolved. But that will be reflected in this coming year 2016 to new E-Rate business that was affected by that.
Catharine Trebnick: Alright, thank you. And then the last question is you did talk to your hand a little bit to wave 2 product coming out in Q1 and is there any particular verticals that you think will be more attractive for that new technology?
David Flynn: wave 2 will be a premium product that will be used by the more demanding environments or higher user count and higher traffic load. The education market is actually -- is one of those markets. So, we expect it to be appealing to the education market. We’re already actively quoting that on E-Rate -- products on E-Rate opportunities, so we’re out in front of that. But over time we expect it to spread across all the markets. You tend to see lower education being a little bit earlier adopter on a new Wi-Fi technology though. So, we’re out in front of it; we’re quoting it aggressively today and we’ll be able to garner E-Rate business with that product.
Operator: And we’ll now go to James Faucette with Morgan Stanley.
Meta Marshall: Hi, this is Meta on for James. A quick question just about as you move up to bigger customer sizes, and realizing you’ve just put a fair money into the development of the NG platform, but are there areas of development that you’re focused on, whether it would be analytics or that you feel like well how could you compete as you continue to go further out market?
David Flynn: I think one of the biggest areas where we’re focusing our innovation on is the extensibility of cloud services platform. As we referenced HiveManager NG is the network management application to manage our solution, but it’s build on platform, we called Aerohive cloud services platform and we’re doing a lot of work around that -- the big data aggregation analytics and APIs to encourage development and innovation on top of it, so people can realize business value, not just network operations value. And that’s really resonating with the larger customers; it’s resonating with larger service providers like SURFnet, a lot of these larger retail deals that wanted analytics and they want to use that platform to do more than networking, they want to realize business value. So that’s a huge amount of our investment going forward is building out that cloud platform.
Meta Marshall: And then just another quick question about -- on the deals that you’re winning, I’m assuming the fair amount of it is no longer Greenfield maybe outside of education. So, on average, how old is the equipment that you are replacing in deals?
David Flynn: Usually when it’s -- if it is an upgrade, it’s typically going to be in the three to five-year old kind of picture. We’re seeing a fair amount of development and upgrades that went in several years ago and are now being upgraded to AC. That’s definitely a contributing factor. But in that range some verticals tend to go, some of the retailers are even older six, seven-year infrastructure.
Operator: And it appears there are no further questions at this time. I would like to turn -- I apologize. We’ll go next to John Lucia with JMP Securities.
John Lucia: Hey guys, I had a quick follow-up. This is a second quarter in a row that you’ve posted positive free cash flow. I’m just wondering if you can give us, John, any frame of reference for your expectations for free cash flow in 2016 or any kind of color around that would be nice?
John Ritchie: Sure. I’ll give you a little bit of color, but will keep the guidance one quarter a time. We expect to be cash flow negative in the quarter as it is our seasonally down quarter. Interesting enough, if you look in terms of being seasonally down, we’re much -- seasonal decline this year’s considerably less than it was last year. But as we progress through the balance of the year, we expect some total of the last three quarters to be cash flow positive, varying amounts of cash in the quarter, but will be cash flow negative Q1 and will be cash flow positive on a cumulative basis for the last three quarters of the year.
Operator: And at this time, there are no more questions. I’d like to turn the conference back to management for any additional or closing remarks.
David Flynn: Thank you all for joining us today. We will be at the Goldman Sachs conference next week as well as Morgan Stanley and JMP conferences next month, and hope to see many of you soon. Good night.
John Ritchie: Thank you.
Operator: This concludes today’s conference. Thank you for your participation.